Christian Becker-Hussong: Good afternoon everyone. Welcome to our Earnings Call on our Fiscal Year 2022. This afternoon the speakers are Joachim Wenning, our CEO; and Christoph Jurecka, the CFO of Munich Re. And the procedures, as always, you are familiar. With that we will start with a round of presentations and then have ample of opportunity for Q&A. So now I would like to ask Joachim to kick it off. Thank you.
Joachim Wenning: Thank you very much. Christian. Good afternoon everybody. Last year was another year of significant challenges for the whole industry. Against this background, I'm all the more delighted to say that it has been a very good year for Munich Re. In a world that is all out of joint almost, we have remained firmly on track and have even exceeded our full year profit target with a net income of â¬3.4 billion. I must underline it that was not so clear half a year back, so we find this an overwhelming achievement. At the same time, we strengthened our reserves to comprehensively account for inflation risks. We could afford to do so without affecting our financial targets, while, of course, increasing earnings resilience going forward. Nobody I think could have known what geopolitical and macroeconomic turbulence 2022 would bring, the Russian War, related economic distortions, spiking inflation, the trend upwards in interest rates, heavily fluctuating capital markets. Consequence of all this, our investment result came under pressure. However, and that's the good news as this was more than compensated for by a strong operational performance of all business segment. Simply speaking, diversification and earnings power just working as it should be. And we want our shareholders to continue to participate in our strong financial performance. So we propose to increase the dividend from â¬11 to â¬11.6 and also decided a new share buyback in the order of â¬1 billion until the AGM 2024. The next slide that you see is one that demonstrates what I just mentioned is the Munich Re diversification benefits. ERGO with more than â¬800 million delivered a very strong result, which compensated for the slightly, very slightly weaker, but still very strong reinsurance result. And within our reinsurance business, again, life reinsurance exceeded the target by more than double. In fact, I think the strategic course we've set ourselves as part of our Ambition 2025 is already coming to fruition, meaning the greater the profit contributed by our less cycle exposed businesses, which â more diversified our overall earnings profile becomes and this is exactly what we have laid down. The achievements we made in 2022 fully support the trajectory towards 2025 targets. In regards the return on equity, we are already at the level we aim for by 2025 balance â both for reinsurance as well as for ERGO standalone. And as announced in our Investor Day last December already, we increased the ROE guidance to 14% to 16% because IFRS 17 rules will just recognize earnings earlier than IFRS 14. With an earnings per share growth of 11%, we are clearly ahead of our guidance and with 5.5% dividend growth we also delivered on â our capital position remains very strong. The ratio is well above our optimal range. Reporting the capital management strategy of the Ambition 2025 â every leeway that we may need for further growth or for â we have the financial flexibility to grow our business, increase the dividend and execute the share buyback of â¬1 billion at the same time. Inflation further increased and persisted at a multi-decade high as you know and even though we have seen some signs of easing recently, we here we do not expect to see pre-2021 levels anytime soon or to be more concrete to see inflation rates going down to 2% or lower. The substantial costs from natural catastrophes also in 2022 were to some extent already driven by those inflation trends. Positive side, of course, ongoing high nat cat losses and inflation are supporting the hard market to persist. On the other side, it's a matter of good risk management to prudently reflect their impact both in underwriting and in reserving. By thoroughly doing so, our reserve prudency remains largely unchanged. Christoph, I think, is going to give you some more details later on this. I come to the January renewals. They revealed a clear distinction between different client strategies. It's fair to say that cedents honored reliable partners â providers we clearly benefit from that. Munich Re benefited from just the early clear and consistent messaging throughout the renewal with regard to risk appetite and return expectations. High nominal price increases we have seen in the markets were necessary to protect margins as these were mitigated by conservative loss and inflation expectations. And the 2.3% price increase that you can see on the slides for our whole portfolio is fully risk adjusted considering most recent loss trend assumptions important. So this rate change therefore is a good proxy for the real margin improvement we expect to be reflected in the combined ratio going forward. Just to be very concretely includes material business mix effects of almost 1 percentage and as we have substantially expanded our property non-proportional business. The 2.3% is expected real margin increase after compensation. So important â recently we were asked sometimes how is it possible that some of our peers are highlighting double-digit rate increases. Please go back to them and ask if they also expect and commit to double-digit margin increases going â in addition, which is also important is there are material positive changes in terms of â in terms and conditions which are not fully capturable. Of course, in price increases they â in any case they enhance the portfolio quality. So this includes wording improvements. It includes a clearer definitions of what's included, what's excluded, but also higher attachment point â think pricing of so-called secondary perils make the portfolio more robust. There is one slide where we look into the rate increases and to the volume impact  cautious assumptions as regards loss cost trends are quite obvious looking into this particularly in casualty business, student inflation expectations largely offset nominal price increases or in other words we don't expect margin increase after compensating for . Hence we reduced our exposure to proportional casualty line, especially in the U.S., whereas casualty non-proportional shares benefited from some very material rate increases. In property, we have executed a strategic growth impulse into non-proportional programs, which together with some specialty lines provided opportunities that we haven't seen for 20 years. We took advantage of those material rate increases by further expanding our NatCat exposure. But as the non-proportional property programs only account for about 10% of the renewed portfolio in the January renewals, these prime improvements are under proportionally reflected in the 2.3% overall price change. However, we are pretty optimistic with respect to the upcoming renewals, the one four, but more even the one six and one seven renewal this year which will naturally include higher shares of NatCat business. This will correspondingly reflect . As a consequence of high inflation, we also saw a sharp increase in global bond yields, which can already be observed in the substantial increase of our Solvency II ratio. In our P&L we see the benefit with some delay after several years of a declining running yield 2022 marks a turning point. We are now investing new money at much higher yields which will increase regular income over time and sustainably. We are even voluntarily accelerating this trajectory by portfolio re-allocations to seize market opportunities, deliberately accepting that this will be leading to temporarily unavoidable disposal losses. Going forward, this is going to improve the quality of our investment result  of sustainable income will increase. Letâs turn to the other big industry challenge, high NatCat volatility. Mentioned in the general renewals, we have grown our cat exposure materially and for good reasons. NatCat is one of our most profitable lines of business despite the above average industry losses in recent .  We have demonstrated that we can manage volatility through diversification. A strong balance sheet and an excellent capital position  has been a lot of discussion in the market about model quality in the context of climate change and industry losses of above US$100 billion being the new normal. We reiterate, we deem our model state-of-the-art reflecting a long data history, recent insights from academic research and forward-looking findings. And within our portfolio management we incorporate this know-how taking active measures to contain risk. And when you look at the past five years, on average, actual major NatCat losses fully met our expectations despite industry losses of more than US$90 billion. In 2022 we even came out below budget. And this is not just luck but the result of diligent risks election, diversification and disciplined risk management. In other words, we do not overexpose to any risk, however, attractive. And even though NatCat is cyclical, there are business opportunities deriving from the still huge protection gap and increasing risk awareness, which are driving that demand. However, we do not solely focus on NatCat. One single line of business should not be a dominant driver of earnings. That's why we defined our strategy in the ambition 2025 with the aim to continuously expand the share of more stable and less cyclical lines of business, thereby improving overall earnings diversification. Aside from further increasing diversification within our core P&C reinsurance business, we will achieve a more balanced composition by further expanding risk solutions, life and health reinsurance and ERGO business. Underlining this message let me provide some more color on the fields of business, primary fields of business. I start with risk solutions, which includes various primary insurance businesses. From this year on this will be managed together in a new Global Specialty Insurance division, which we call GSI. And the division, as you know will be headed by Michael Kerner. The aim of this reorganization is to continue to support the very good business performance our primary insurers have seen and to drive forward further expansion  powerful global payer in this field. The more efficient governance structure will enable us to leverage synergies in underwriting distribution and operations and thus enhance our specialty proposition to the  2025 we expect this division to grow to some â¬10 billion top line. By then bottom line of say up to â¬1 billion per annum to me wouldn't look totally unrealistic. And then there is ERGO, which has significantly increased its earnings over recent years and has again achieved an excellent net result of more than â¬800 million in 2022, â¬600 million of which is sustainable and â¬200 million based on a one-off effect. Strong profitable growth across all segments, all regions of around 5% last year was supported by superior underwriting and continued cost discipline. Going forward, ERGO strives for above market growth in all major markets with further increasing earnings and profitability. And ERGO has proven its ability and determination to deliver since 2016 with no exception. Also therefore Iâm confident that ERGO will continue to sustainably contribute to Munich Reâs earnings diversification. In 2022, we've not only made progress in terms of our financial performance but also worked on our climate agenda. As you can see, our decarbonization pathway is well on track. In the asset side, we achieved the total reduction of CO2 emissions of 46% compared to the previous year 2019 and also on the insurance side you see material CO2 reduction with regards to coal-fired power plants, terminal coal and especially oil. And also our own emissions from business travel got reduced by 22%. As from January 2021, we set ourselves a target of achieving a 40% share of women in leadership positions throughout the entire Munich Re Group by 2025, started with 35.1%, two years later, end of year 2022 we already stood at 38.5%. So 40% is within reach yet will require every effort as refilling the pools of female talent will take more time than exhausting them. Our agenda ambition has been an important starting point but it's a starting point only locally and regionally in the course of this year, we will add more dimensions to it and also want to be leading in all these aspects. Let me summarize. Our strategy is paying off, the well diversified business portfolio benefits earnings stability, very favorable market environment will further benefit our growth and profitability in P&C. Patient is well managed, in the absence of any severe political or macroeconomic shock, confidence in fully delivering on ambition 2025. And we are happy that the capital markets except today are rewarding our profitable growth path. In terms of total shareholder return in the past four years, we have outperformed all our leading peers in global reinsurance and European primary insurance by what is really more important than this to us is in 2022, there is not one significant item I'm aware of or Christoph is aware of in which Munich Re hasn't done a better job than the market. This makes me very proud of our people. To the end of my presentation with an unchanged guidance, we are heading for a net result this year, 2023 of â¬4 billion and Christoph will now lead you through the financials in more detail. Thank you.
Christoph Jurecka: Yes, thank you, Joachim. Good afternoon also from my side. As Joachim just pointed out, 2022 was a very successful year for Munich Re. Based on the strong business growth and pleasing underlying performance in our insurance business, we were able to compensate for lower investment return, which was still solid against the backdrop of a challenging year in the capital markets. In particular, ERGO and also life and health reinsurance delivered excellent results exceeding their full year guidance and once again proving their significant contribution to Munich Re Groupâs overall earnings diversification. In the reinsurance was very resilient to high industry large losses and to the impact of the spiking inflation. Rising interest rates and the good operating development materially increased our economic capital position, required capital decreased noticeably mainly due to the sharp increase of interest rates by far overcompensating the effects from business growth and with a Solvency II ratio of 260% we are well exceeding our target capitalization also after deducting the next share buyback, which will be accounted for only in Q1 this year. Economic earnings of â¬2.6 billion came in lower than IFRS as good operating performance was offset by negative market alliances. More details on the sources of economic earnings will be provided with the release of our annual report on 16th of March. The German GAAP result was more burdened by the higher interest rates compared to IFRS, due to high write-downs on fixed income investments recorded in the P&L. Moreover, last year's result reflected a positive one off from the changes in the setting of the equalization provision. Our high stock of distributable earnings continues to fully support the capital management strategy. On Slide 23, before we turn to the full year figures, let's have a quick look only at our Q4 results, which came in above consensus expectations. An ongoing positive underlying performance and lower than expected major losses contributed to strong earnings in P&C reinsurance. All the marketplace net earnings included a noticeable reaction to additional inflation risks. I'll go into more detail later on. Life and health reinsurance posted another excellent result. Q4 earnings benefited from an aggregate positive experience and lower than expected COVID claims. Besides rising interest rates had an overall positive impact with almost â¬100 million fee income continues to be a strong earnings contributor. Also, ERGO is once again delivered a very good operating performance. In particular, the German life and health business benefited from its own technical result. P&C business continued to show a very pleasing combined ratio in Germany, while internationally the combined ratio was somewhat affected by inflation, for example, in the Polish market. The annualized return on investment of 3.6% in the quarter was supported by disposal gains from public and private equity investments. To some extent, these were offset by disposal losses in the fixed income portfolio which were realized to support the future regular income. Now look at the full year investment return on Page 24, the return on investment of 2.1% was below our guidance. In 2022, as you know, we are facing heavily fluctuating capital markets with a sharp increase in interest rates. As a result, we had to digest significant write-downs in our portfolio. At the same time, we also benefited from higher interest rates and from currency effects. The running yield improved by remarkable 40 basis points and is expected to further increase with the reinvestment yield of 3.9% in the fourth quarter, the level which we have not seen for a long time. In the context of our economic asset liability management, we hedge part of the interest rate risks using fixed income derivatives. IFRS 4 accounting mismatches led to uneconomic losses of about â¬1 billion in reinsurance. Finally, I would like to stress that currency is not part of the ROI albeit part of our investment management process as an asset class in its own right including currency gains, we wouldâve almost reached our initial full year guidance of 2.5%. All in all, we achieved a resilient performance given the very volatile capital markets. Now turning to the 2022 financial development of two business fields, Iâd like to start with ERGO on Page 25 and ERGO clearly exceeded as mentioned as a full year guidance. Within ERGO, all segments contributed to the strong bottom line performance. In Life and Health Germany we benefited from a â¬200 million one-off effect related to higher interest rates. In the writing yield environment, the German life back book clearly benefits and shows its value, which is also visible in our economic figures and specifically in the Solvency II ratio. The German P&C business delivered again a very strong technical performance with a further improved combined ratio of 90.6%. From my point of view, this is an outstanding result in the competitive German market. The International segment showed pleasing results. Please bear in mind that last yearâs figures include a positive one-off effect. While P&C business felt the impact of the difficult market economic environment, health business performed better than expected. Turning to reinsurance on Page 26. We continue to record strong business growth at a high profitability level of 13.8% return on equity. Life & Health reinsurance substantially exceeded the fully ambition based on its very healthy underlying performance. COVID claims of around â¬350 million were offset by the impact of higher interest rates and positive experience beyond COVID. Fee income continued to be very strong. I would like to underline that the outperformance in Life & Health reinsurance is a very much driven by the operational performance, which also underlines the very strong conservatism in our outlook 2023 for the total technical result in life fee, which additionally, as you know in â as itâs based on IFRS 17 will benefit for methodological changes. Now turning to P&C, with 96.2% the combined ratio in P&C was higher than expected even though major losses were slightly lower than anticipated. We catered for additional inflation risks, which is visible in an elevated normalized combined ratio. This is clearly a one-off effect. As for the future, we fully reflected the inflation in pricing. Iâll add more explanation in a minute. On Page 27, what you see there is the combined ratio of risk solutions, which was pretty much the same level as the overall P&C reinsurance book as higher inflation elevated nat cat losses also left the mark. Business growth was even higher than anticipated. Premium increased by more than one-third last year. As highlighted by Joachim Risk Solutions remains a rapidly growing and profitable segment within P&C reinsurance. Over the last three years, the premiums have almost doubled. We took advantage from the favorable market conditions, expanding our footprint in attractive lines of business in particular Hartford Steam Boiler once again delivered excellent top and bottom line results while Munich Re Specialty Insurance was impacted by Hurricane Ian. On Page 28, I would like to conclude the IFRS chapter with a closer look on our reserving position, which remains rock solid. And this is despite the impact of inflation, which has been consistently reflected in the reserving loss picks at year-end and which I will explain in more detail on the next slide. Overall, the outcome of the reserve review was again very positive. The result of the actual versus expected analysis now has quite 11 consecutive years consistently shown very favorable indications and allowed for releasing the usual 4 percentage points of reserves despite growth and despite inflation. All lines of business have developed favorably. The main drivers being property and motor, while the release for third-party liability was small. This is a cautious reaction due to U.S. casualty where social inflation trends have not evaded. An unchanged level of 4 percentage points reserve releases on basic losses despite inflation and the growth is a remarkable outcome of this yearâs reserve revenue. On that basis, we expect to be able to release the same level of reserves also going forward, which in the language of IFRS 17 will be 5 percentage points. Also, with respect to large loss complexes, we have taken a prudent approach. For the war in Ukraine, we have increased our reserves by another around â¬200 million in Q4. Of COVID, we only released reserves of around â¬140 million at year-end still holding an IBNR level of around 50%. Given the gradually reducing uncertainties one could interpret this IBNR level as even more prudent now than a year ago. In terms of inflation, we have taken decisive action as described on Page 29. Our regular with reserve review revealed an additional inflation impact of â¬1.3 billion in our actuarial segments, which was distributed in roughly equal parts to 2022 and prior years. For 2022, this corresponds to approximately two combined ratio points, which largely explains the increase of the normalized combined ratio of around 96% compared to the outlook of 94%. As mentioned for prior years, the outcome of the reserve review was overall very positive and even better than I had expected personally at the time of our Q3 analyst call. It not only allowed for releasing those usual 4 percentage points of reserves despite the growth also the favorable one-off helps to cover the inflation impact. And in addition, we reallocated a specific reserve that had been built in the past for a scenario of economic inflation to the actuarial segments. In essence, despite fully reflecting the unforeseen inflation spike or traditionally very high reserve potency remains largely unchanged. On the next page, we show the reconciliation of the combined ratio to our outlook of 86%. Itâs already outlined by Joachim benefiting from one of the most favorable markets in P&C reinsurance in many years. Before I turn to the impact, this is expected to have on our profitability in 2023, a few words on the starting point of the combined ratio walk, this has also been heavily discussed today. The underlying performance of P&C reinsurance is a very healthy and over the course of 2022, we made progress on our initially expected trajectory towards around 94%, based on the continued earning through of the rate increases achieved in 2021 and 2022. As discussed, we reacted to increasing inflation trends early and holistically, most importantly, setting loss assumptions cautiously. In hindsight, and after assessing all relevant data in our annual reserve review, our initial loss specs for the new business in 2022 had to be adjusted by â we already mentioned around 2 percentage points in order to reflect the upward trend in the most recent inflation assumptions. And this is reflected in the normalized combined ratio of 96.2% in 2022. Iâd like to emphasize that those 2 percentage points, they are a one off. And therefore, this elevated level of 96% should not be considered a starting point for the expected underlying combined ratio for the financial year 2023. On the one hand, for new business in 2023, we have fully reflected the ongoing high inflation levels in pricing. And on the other hand, we cannot just simply deduct the full 2 percentage points that impacted our 2022 combined ratio as the resetting of inflation assumptions also affects business written in 2022, but which we will only earn in 2023. If you consider all these aspects, the underlying combined ratio is a starting point of the combined ratio work on the slide is around 95%. Letâs turn to the impact of the January renewals. We are not only able to fully capture the current inflation environment in pricing, we also secured a fully risk adjusted rate change of 2.3% as Joachim already outlined. And again, this 2.3% is fully on top of inflation, fully on top of any model adjustments we made for large losses for climate change for whatever could drive up the claims going forward, so fully risk adjusted increase 2.3%. We will earn most but not the full impact of this 2.3% in 2023. We are very optimistic also for the upcoming renewals, so therefore, we say we would expect the positive impact in 2023 to be about 2 percentage points. And also given our reserve strength, we do not expect to use the improved margin for reserve increases. When other words, the price increase we achieved will fully translate into a better combined ratio and will fully translate into higher earnings. When we presented our outlook for 2023 and IFRS 17 in December, a similar order of magnitude of pricing movement was already considered in the 86% combined ratio guidance, given the strong market environment observed already back then. We also presented the main buildings blocks of the reconciliation of the combined ratio to IFRS 17 back in December. First, the change in methodology, which means the fact that the insurance revenue is much lower than net on premiums due to exclusion of fixed commissions at NDIC leads to a lower combined ratio of around 1% to 2%. Then we already quantified the expense reclassification also at 1% to 2%. This counting accounts for the remaining difference to the IFRS 17 number of 86%. While we have to keep in mind that in reality a wide range of outcomes is possible depending on the actual interest rates. Given that we have set targets under IFRS 9/17 for the first time, thereâs an element of caution in here, which clearly goes beyond the usual Munich Re conservatism. When this aggregating the 86% combined ratio, the basic losses I expected at around 57% to 58%, expenses at 14% to 15% and major losses at around 14%. In December, the first quantified these with around 13%. However, subject to the one-one renewals. As the share of property XL business has increased in our portfolio and this business comes with almost no attritional losses. There is a shift from basic to major losses that is reflected in the 14% major loss expectation based on a large loss threshold of â¬30 million. Accordingly, we are now expecting major nat cat losses of around 10%, while the expectation for man-made losses has slightly reduced to 4%. Now coming to the economic disclosure on Slide 31, capital generation wasnât very strong and our 72 ratio increased substantially to 260% benefiting from raising interest rates in some of our books even over proportionally. And this is due to second order effects like an interest rate driven change in profit sharing assumptions at ERGO or due to deferral tax effects. Remind you certain parts of our internal model are only updated at Q2 and our Q4. Our capitalization supports both business growth and the attractive capital repatriation. Please note that the 2022 figure already includes the dividend where the share buyback will be deducted in Q1 only. Even adjusting for the buyback our Solvency II remains well above the upper end of our self-defined optimal range, which is a very good starting point into a year in which we again expect to grow substantially and in which uncertainties continue to be high. On Slide 32, you can see that business growth is also reflected in a continuously increasing relative share of insurance risk against investment risks. Weâve had a stable diversification benefit between all risk categories of more than 30% for many years based on our prudently calibrated risk models. Our overall risk portfolio, therefore, continues to be very balanced. Looking into the SCR development in 2022 on Page 33, it is striking that higher interest rates had a major impact on the overall decline of 14%. In particular, capital requirements for our German life business at ERGO reduced significantly as financing policy holder guarantees has become a lot easier with higher interest rates. Given the diversification of our global P&C reinsurance portfolio, we were able to expand our business in a capital efficient way, which means required capital growth at a similar order of magnitude as the premiums. Now on my last slide, look at our third capital metric HGB or local GAAP, and in this German GAAP result of â¬1.1 billion mentioned on the slide came in much lower than the 2022 IFRS result and also lower than the prior year local GAAP earnings. And this is due to a significant reduction of both, the underwriting as well as the investment result. The decline of the underwriting result is mainly driven by the change in the calculation of the equalization provision, which led to a pretext gain of â¬1.6 billion in 2021. Excluding this one off effect, the underlying result has increased. The negative investment result is due to a very large â largely a â very largely strong increase of interest rate reflected in quite which at accounting rules according to German gov. So in other words, significant write-downs on fixed income quantum derivatives, which donât make sense really given that the liability side is not reacting at all to interest rates according to German gov. However, and this is I think the key message here, distributable earnings remain on a very comfortable level supporting the capital management targets we outlined and therefore everything as planned and very much under control. Now with this final remarks Joachim and I look forward to answering your questions. But first Iâll hand back to questions.
Joachim Wenning: Yes. Thank you, gentlemen. Not much to add from my side. Aside from just confirming we now have plenty of opportunity for question and answers and happy to start with the session. And please feel free to ask your questions, while bearing in mind that you please limit the number of your questions to a maximum of two questions each. Thank you.
Operator:  One moment for the first question, please. And our first question comes from Andrew Ritchie with Autonomous.
Andrew Ritchie: Hi, there. First question, just want to understand exposure growth because Joachim, in your opening comments, youâve used the phrase that youâve grown cat exposure materially at 1.1. When I look at your renewal disclosure, allowing for guesstimating what nominal price increases are, allowing for the fact, you seem to have reduced some cat exposure that wouldâve been within the property proportional. I donât get that your cat exposure wouldâve grown that much materially at 1.1 even allowing for the XOL growth. So maybe just clarify that. And in relation to that, I guess what Iâm curious about is if that is or is not the case, what the sort of dry powder is for furthering that cat growth over remaining renewals. Second question. Could you just clarify what the thinking is again behind the ROI guidance for 2023? I mean, I guess Iâm thinking here this is an IFRS 17 guidance. You have also â youâve assumed, I think some realized losses, but Iâm wondering if youâve also put some allowance for any fair value through P&L noise as well. Thanks.
Joachim Wenning: Yes, good afternoon, Andrew. This is Joachim. Thanks for your first question. The second one goes to Christoph. So in the 1.1 view, our cat exposure has expanded with regard to the non-proportional programs. It has shrunk in the context of the property proportional programs. The reason why the letter is because if you just take, for example, in the U.S., if you take the admitted businesses example, there is a primary carrier you go over 50 states and have to apply for the approval of your new tariffs. This causes some delay, which is not very good in reinsurance. That is why deliberately we have shrunk it. Our power â or powder, dry powder for the remaining renewals is, if I say unlimited, thatâs nonsense, but itâs very high in all the scenarios except for the peak scenario, which we have highlighted already where we have reached, I would say amounts that we do not want to voluntarily expand any further, because then the balance of diversification would be at our expense. Otherwise, the powder is dry. Thanks. Christoph?
Christoph Jurecka: Sure. Yes, Andrew, good afternoon. As of from my side, the ROI of 2.2%, as you mentioned already, is indeed affected by the assumption that thereâs a decent amount of turnover in our fixed income book, which would realize unrealized losses into the P&L. On top of that, the assumption you generally take is what we call the naive prognosis. So we basically are ignorant to whatever could happen at the capital market, which are saying that they stay where they are. So a constant interest rate level, no movement at all. And for equities and equity like investments, we generally take total return assumptions, like for example, I donât know 6%, which would then include already the dividend or so, so a stable decent return. Which in other words means for fair value P&L, we neither have a lot of upside in that number, but also no significant buffers for potential downside.
Andrew Ritchie: Okay. Thanks.
Operator: Our next question comes from Freya Kong with Bank of America.
Freya Kong: Hi, good afternoon. Thanks for taking my questions. Given your comments just now and the 2% combined ratio improvement shown on Slide 30, this seems to imply you expect some risk adjusted rate increases of maybe 3.5% to 4% over 2023 as we go through renewals. Is this a fair way to think about things? And do you expect positive earn-through of 2022 written business this year? Secondly, reserve prudence is largely unchanged despite the inflationary impacts. Could you give us some of the moving parts between positive runoff and reallocation of the special inflation scenario reserves? This would suggest that your underlying runoff was more positive than usual. Any color you can share on this. Thanks.
Christoph Jurecka: Yes. On the combined ratio, the risk adjust number is 2%, but I think we have to be very clear what the basis for that is. In our inforce, we expect every inflationary effect to be fully covered already about what we did, so thereâs no â and also in pricing for new business, so inflation fully covered. So if you for a moment believe that, then the plus 2% we have is a full margin improvement. And so this 2% can be immediately deducted from the running combined ratio, our inforce book has, and this is what we are doing on my slide, where we show how the combined ratio develops from the 95% starting point into the 86%. So we deduct the full 2% because this is a fully risk adjusted number. But inflation is already fully covered in the 95%, starting point number. When it comes to prior year development, I think itâs fair to say, I mean, we release 4% into the P&L as we generally do, but we â you also use part of the prior year development also to finance inflation effects, and therefore without inflation, I think itâs very fair to say that then the 4% wouldâve been a higher number.
Operator: Our next question comes from Kamran Hossain with JPMorgan.
Kamran Hossain: Hi. Afternoon, two questions from me. The first one is just on the, I guess on the pricing of the annual renewals. Clearly have heard your comments around kind of what peers are saying versus what you are saying, but the 2.3% year-on-year basis feels pretty cautious prudent versus history, and if I had to look back at 2021, youâre actually above that level. So youâre 2.4%, I think itâs a Jan, 2021 renewals. So should we look at these renewals and think, okay, youâve made very prudent risk adjustments. Are we talking kind of further special inflation reserve type prudent? Or just kind of regular Munich Re prudent? So just interesting comments around that because it feels like itâs a really good market, but 2.3% doesnât necessarily suggest that? Or itâs good, but itâs not great. And the second question is on dividend growth and capital returns. Clearly you are aiming for â¬4 billion of earnings this year, and obviously weâre very early in the year, but if you were to achieve that number, should that flow straight through to local GAAP earnings and therefore, theoretically, can it all be distributable? Thank you.
Joachim Wenning: Yes, Kamran. Good afternoon. This is Joachim. I take the first question Christoph takes the second. So is the 2.3% rate increase that we indicate prudent, is that overly prudent is that good. Well, I can tell you we havenât seen the renewal like this one. If you just give us credit second that this is the overwhelming perception of business telling. Now you can say they are â now the 2.3% if you compare it as you did and right, so you compare it to some other January renewal outcomes, then I would say itâs maybe underwhelming because we have seen one, it was, I think however, we didnât have â so that we get a full compensation for a book of â¬15 billion to be, technically that is a matter of fact, and I would agree with you, but you â that you get all of that funded one and not over one or two or thatâs a big achievement. And to get in addition to that 2.3%, frankly itâs 2.3%. These are amounts. I wouldnât underestimate that how is still conservative or more conservative than before maybe, but I would be cautious. Maybe our inflation assumptions are on the cautious side, but frankly I love them to be on the cautious. This would be my longer answer.
Kamran Hossain: Thank you. Thatâs very reassured.
Joachim Wenning: Thank you, Christoph.
Christoph Jurecka: Sure. Kamran so did the local GAAP result can only be structurally lower than IFRS. I think youâre well aware of that. The reason is that we are not always able to upstream all of our earnings to the mother company based on local capitalization requirements given the growth, and subsidiaries reason and branches and similar things. But what I can confirm is that the local GAAP earnings will be for sure high enough that together with the stock of distributable earnings we are holding already on group level, they will be in any case, sufficient not to be any, any relevant restriction to continue to have an attractive capital management policy also going forward.
Kamran Hossain: Fantastic. Thanks very much for the detail. Thank you.
Operator: Our next question comes from Will Hardcastle with UBS.
Will Hardcastle: Hi, afternoon everyone. Thanks for the questions. First of all, regarding that current year inflation uplift, I guess what lines of business has seen the highest allocation? How long you assuming inflation stays elevated in this uplift? And should we apportion this relatively evenly across the quarters in 2022? I know itâs all come in Q4, but â or has that shortfall or possible shortfall been increasing as the years progressed? And the second question is just related to January renewals. It might sound a bit cheeky, but I guess why have you not grown volume more? Itâs a hard market peers were constrained. Youâve got better margin here. Is it because youâre expecting even better later renewals? Or was it simply primaryâs demand reduced so much? Thanks.
Joachim Wenning: Yes, Will, on the inflation, I think what is very important to underline that the outcome we are booking in Q4 is really the result of an in-depth analysis in our annual reserve review. So itâs not something which is obvious and we could have booked early on already and why is that? But the reason is we donât see it in our data at all yet. There are just very few lines of businesses where we actually have increased claims already. So what we had to do is have a detailed database analysis our actuaries have been running over the last couple of months in order to find out what the potential impact from the higher inflation is on our books. And the way we did it is twofold. We started into the exercise from a more top down perspective based on CPI, but also other inflation numbers available in inflation indices, these kind of things. And started with a top down assessment, what they might â what those indices might mean for our reserves. But then very much went into the details of each and every book. We are holding together with the underwriters, understanding in reality what inflation might mean for those books. Also, looking into the terms of conditions on the individual 3D in a very detailed way, and then coming up with a number like that, what inflation would mean to those books. And then we were only in a position to book it. And the difficulty, the risky thing is if you donât do an exercise like that, you could easily be on the wrong foot, and not book anything at all. And then youâll find out one, two, three years later maybe that the claims are surprisingly high for you. And thatâs why we are underlying, so underlining so much that this, that this exercise was very important. It was important to have this thorough assessment of inflation and also this prudent stance we have on inflation is something really placed on data and based on the intelligence of our whole organization after two months or three months exercise going into all the details.
Will Hardcastle: Thatâs great. But just to clarify, is this held as some sort of bulk IBNR at the top level, or it must have been allocated on a thought to lines of business? I mean, are you able to say if itâs some of the long tail or the shorter tail lines?
Joachim Wenning: Yes, we did it really on the individual actual segments. So itâs not a bulk booking. It was in the past. So that was the reason why this special reserve we reallocated for the prior years. So we were holding this reserve already for inflation. But this year the exercise was really a very detailed one based on really book by book by book. And what we observed, I think this is also mentioned in our presentation is that we had a rather better than expected actual performance in specialty lines of business, which we didnât give a lot of credibility. So we maintained the prudence in there, didnât really release a lot. And actually the inflation, which we had to cover now by this additional 1.3 billion for current and prior years. This was much more on the property side and less so on the casualty side.
Christoph Jurecka: Yes. I think the second question, which was why havenât we grown more. First of all is important to state we have grown as much as we wanted. Second question is, I must admit, I had the same question when I got the first review report into my hands because I saw that the growth was, what was it 1.3% I think, which is a lower growth rate than compared to past renewals where the market wasnât as hard as this time. So I had exactly the same reaction as you did. But then I know the reasons and acknowledging that the reasons is there is one large transaction where we deliberately reduced our share significantly, which accounts for a huge amount. If you normalize for this, then our growth would have been towards not exactly, but towards 10%. And that gave me all the comfort that we did everything right. Thanks.
Will Hardcastle: No, thatâs a lot clearer. So just to be clear, are you able to say what line of business that was in or is it a whole account sort of multifaceted life?
Christoph Jurecka: Yes. Your estimate is right. And there is one risk area who recently I think already made a public statement that they retained some of the business that the reinsurers didnât want. Thatâs exactly us.
Will Hardcastle: Brilliant, thank you.
Operator: Our next question comes from Ivan Bokhmat with Barclays.
Ivan Bokhmat: Hi, good afternoon. Thank you very much. I would like to ask you a couple questions. The first one is maybe about the timing of the earnout of those price changes in the new accounting framework and the IFRS 17. Showing the two percentage points combined ratio benefits to the new target, which comes out at 86. And Iâm just wondering of those 2%, how much comes from the one-one renewals and how much comes from 2022 business. And by extension, I guess the point of the question is to understand how much is carried over into the following year into 2024. Maybe another way of looking at it. I was wondering if under the new accounting methodology, would your combined ratio be more or less sensitive to the reinsurance market cycle? Would it be a quicker response than before? And then the second question I have is regarding the regular income yield, maybe expanding a little bit on the â one of the first questions youâve had from Andrew. When you think about those potential realized losses that you would take. Do you think in terms of the range of improvements to your regular income yield, as in under normal circumstances, it would generally improve by 10 basis points, 15 basis points per annum, but with some of those active portfolio management actions, youâd get a quicker response. Maybe you could try to quantify that if possible? Thank you.
Joachim Wenning: Sure. Ivan, the first question how the 2% would develop in IFRS 17, I think generally very similarly the 2% are really only the renewal. So there as you know, consistency is really important for us. And then our renewal numbers, we really make sure that they fit into the current ratio guidance and are fully consistent. So that we are not using to disjoined methodologies, which donât really relate to each other in any way. So the 2% are really the renewal. And in IFRS 17, I mean of course the methodology is slightly different. So you do no longer divide by net on premium but by insurance revenue. But you are aware of those things. Other than that, itâs pretty much the same. It will slow through in the same speed, same velocity, and other than that there can be some noise from changing interest rates, discounting going up and down a little bit, but I think thatâs like second order effects. Other than that will be pretty much the same also going forward. So the renewal will pretty quickly be earned through mostly in the first year than in the second year to a lesser extent and to a very small extent only going into the third year. Thatâs our general pattern and I would expect it to be pretty much unchanged. With the earn through and also the realized losses on the fixed income book and how quickly will we able to increase the yield with that. It depends on the number of parameters. So itâs not so easy to give you a general answer to that. It will also depend on duration and spreads and in which book you do it in which currency and so on and so forth. What I can tell you though is that we did realize some losses deliberately in the fourth quarter of â¬270 million, and our estimate back then was that would lead to a pickup of the running yield of 30 basis points. So that maybe gives you a kind of indication of how orders of magnitude could look like also going forward.
Ivan Bokhmat: Thanks. And maybe just a quick follow-up on the first question. So on the carried over benefit into the 2024, I know itâs early to give the indications. When I think about the â letâs say 2.3% rate improvement that youâve achieved with the bulk in 2023, that would assume that a little bit will get carried over, correct?
Joachim Wenning: Absolutely. Absolutely. I would estimate it to be between one third and one fourth.
Ivan Bokhmat: Thank you.
Operator: Our next question comes from Vinit Malhotra with Mediobanca.
Vinit Malhotra: Yes, thank you. . Just two topics for me. One is inflation and one is foreign exchange. On inflation, I mean Iâve noted your comment that you were quite conservative, and this is relevant because obviously when we see headlines and energy and everything, inflation is turning or it looks like itâs turning. But then when I see your solvency sensitivities on slide, I think itâs 64. I see that an increase of inflation is almost improving the solvency by two points. So Iâm just wondering, is that because you assume interest rates go up or whatâs happening there? And the second question is the FX volatility. I mean, I think you are very clear in the 3Q call stuff that FX is a part of asset management, and when we are seeing such big swings, obviously they're in the market. So, but I mean, how comfortable are you that this volatility persists and that you remain in this position? And also on a similar line, the Slide 64 has very low solvency sensitivity for FX again; could you just comment on that if possible please as well? Thank you very much.
Joachim Wenning: Yes. Well thank you for the questions. I mean, it's always hard to relate the development over full year and earnings impact over a full year with sensitivities, which we are publishing based on the end of December numbers. On the Ethics side, for example, we have closed positions to a large extent particularly U.S. dollar positions where we have been benefiting significantly over the year. Over the fourth quarter we have been gradually closing those positions, and our Ethics position at year end is significantly lower than â at the end of the year compared to the average level we had of during the year. The inflation sensitivity this is and can only be according to Solvency II a very rough approximation to be very frank. I mean, this is a CPI based inflation. I think more focusing on the assets anyway, but any more indirect impacts you would have, I don't know from construction, cost inflation, from whatever happens on your claims, liabilities that's extremely hard to capture by those sensitivities. So I would not read too much detail into those sensitivities except maybe the core message that our capitalization is extremely stable also when it comes to changes on inflation levels. So we are not afraid of inflation up or down ticks, looking at our sensitivities and then looking at Solvency II ratio.
Vinit Malhotra: And would you say that you are quite conservatively reserved for inflation? Would you say you're conservative reserve for inflation? You did say that, I just wanted to hear it again.
Joachim Wenning: Yes, I think we confirmed it already, yes.
Vinit Malhotra: Okay, great. Thank you. Thank you very much.
Operator: Our next question comes from Fossard with HSBC.
Thomas Fossard: Yes. Good afternoon everyone. Two questions. So first one will be on the one-one  renewals. We've seen across the board a lot of shift from proportional to excess of loss. And the question which keeps coming from our clients is at the end of the day clearly this is creating a drag on the volume since this is less rich â premium rich business. But is it possible to make any comprise in terms of what it means in terms of quality returns or additional margins or I mean, how much can you â are you able to quantify how the shift in the business is making better sense for you from a margin point of view? And the second question will be related to U.S. casualty. Clearly a very stable market despite all people especially in the U.S. being concerned with the reopening of the court post-COVID and long-term loss cost trend being still relatively adverse. So I think from our point of view, it's still fairly difficult to understand why this is not starting to push a bit more the prices. I know that some correction have been made on the primary side, but I would've expected maybe some form of casualty pricing reaction as well on the arrangement? Thank you.
Joachim Wenning: Thank you for both questions. I take both. I think with regard to, I start with your second question, which was about social inflation and the pickup of court cases or court activity due to the outflowing pandemics, et cetera. In theory we would expect that the court activities would go up to pre-COVID levels and from there take the trend that we expected pre-COVID where this will stop, how quickly, how speedy this will develop or accelerate, that's difficult to predict. But if you are on the conservative side, then you expect social inflation to stay being a massive burden for the industry for some more time, this is what we expect. With regard to your first question, the shift from proportional business to non-proportional business, yes, it has a volume impact. Frankly, we don't bother, we don't care. But we do care for the margin impact and you ask for an indication of what that margin impact is. In our case, the new business mix, so more in favor of non-proportional at the expense of proportional corresponds to a 1% price increase.
Operator: Our next question comes from Andrew Ritchie, Autonomous.
Andrew Ritchie: Hi there. I'm afraid I came back for a follow-up. Could I just ask about risk solutions? I see the 3 points increase in combined ratio. I guess I was a bit surprised at that particularly given, for example, things like the weight of cyber within risk solutions where you indicate profitability's improved. So what can you give us a sense of a sort of, I don't know, a clean â clean of cat or clean of inflation or something as to what the underlying profitability of risk solutions did in 2022 versus 2021? That's the first question. The second question I just want to follow-up on the question on cat load. Have you done anything to rerun 2022 based on any changes to term structures in particular, I'm thinking attachment points on your cat exposure. I just want to get a bit more flavor as to the degree to which your book may have lifted up in terms of layersâ attachments away from some of the working layer and sort of more attrition type cat noise of recent years? Thanks.
Joachim Wenning: Andrew, this is Joachim. Risk solutions, so let me try to give you a straightforward answer. If we normalize the risk solutions business for cat volatility, which the book has seen actually then I would say their earnings level would've reached something like, I'm not 100% sure I'm looking into Christoph but â¬500 million or â¬600 million. That's the risk solutions in total. And this is the base from which we, I mentally then start making the statement that I would not find it unrealistic that whole book reaches up to a billion bottom line by 2025 through further growth. The cyber bit is pillar in it, has not changed in quality compared to what we have reported in the last quarters on the last years. So the combined ratio is an ongoing, stable, say approximately 85%. The second question with regard to attachment points and how that has evolved during this renewals, we have seen higher attachment points, no doubt and which improves the quality, which improves the alignment of course of interest. And beside attachment points, we have seen quite significant improvements on clauses or conditions or definitions with regard to what's covered and what's excluded. Because as you may recall the pandemics has shown us, the Ukraine war has shown us, when the conditions leave some gray areas for interpretation of course, and others, it always comes at some cost to avoid those, we have brought through more accurate definitions. Thanks.
Andrew Ritchie: Can, I just â follow-up?
Joachim Wenning: Sure.
Andrew Ritchie: On cyber then the implication is you've not recognized in the loss picks or PYD any of the improvements that have clearly happened with respect to pricing in terms in the last 12, 18 months. I guess, I think that's the implication that I think there's a comment on the reserve page saying you haven't done that yet, but me just clarify, none of that's really recognized yet. And then I just on the attachment point, do you think your Cat losses would be lower dollar, in dollar terms, like for like in 2022, if you had written based on the renewals you've seen.
Christoph Jurecka: And well, I'll take the cyber, the cyber one. Actually I mean our cyber book always was profitable, nicely growing. And then there was never any period where we were not having an overall combined ratio, what was it around 85 or so. So based on that high level of profitability, it just feels good to build up all some prudence, just to be prepared in case something happens. So some aggregation, so some bigger loss happens, and here I'm talking about really a loss, which is not a single event. They're all easily digestible, but something where really you have accumulation across, maybe not globally, but across a number of countries or a number of regions because, that the big risks we are having is really inquisitional  or accumulation and then that never happened really. So profitability was always good, but we continue to build up reserves to be prepared just in case something happened.
Joachim Wenning: Then you had one very concrete question like, if we had applied the attachment points of the January renewal 2023, already to exercise 2022 with the NatCat losses then have been lower?. I haven't done the math, right, we would need to do it approximately, probably yes, but as I haven't seen the math. I would be a little bit hesitant to give you precise answer here, but we can take that offline.
Andrew Ritchie: Thanks very much.
Christian Becker-Hussong: Sorry, is there another question?
Operator: Our next question comes from Vinit Malhotra with Mediobanca. 
Vinit Malhotra: Yes, thank you â to jumped on this opportunity. Thanks for this. So just on the large low 50s, could you just, if you look at the NatCat the prior year the reserve movement. Second we call that the last time such a notable â¬500 million, â¬600 million, â¬700 million NatCat or large loss reserve release was reported was 2018, and now we are seeing it in this year. Are you able to comment, please Christoph and where this comes from? Is it that we should expect every two, three years some kind of release if needed? So I'm just curious about the NatCat reserve release and of â¬649 million reported, of which I understand 140 is COVID and second is the very high man-made could you just comment on that because, it's you're lowering the guidance on man-made, on the budget on man-made to 4%, but this was probably one of the high fourth quarter was probably one of the highest man-made quarters in since at least, I mean, since at least 2021. So I'm just curious if there's any commentary, there that you could help us with. Thank you.
Joachim Wenning: Sure, Vinit. Thank you for the question. Christoph, I'll take the two questions. First on PYD on the large losses there indeed, I mean, what I can confirm, and you see it on the slide as well, is that the PYD this year has been relatively high for large losses and higher than the last couple of years. But we had other years, where it had a similar order of magnitude already. So there's no pattern in that. It's really happening as we make progress with the loss adjustment this year maybe even increased a little bit due to the release of COVID I was referring to before as mentioned â¬140 million out of that, out of COVID. But other than that I think it's something which just more or less happens depending on the actual development. And of course also based a little bit on how much did happen in the years before, because the more reserves you have, the more potential for release there as but other than that nothing, nothing specific really. The second question, the man-made in Q4 particularly, we had a relatively high amount of man-made, but nothing really out of the ordinary to be honest, nothing I could mention anyway, I have a little bit harder time commenting on, on individual claims on man-made. We generally don't do that. But even if I would look at it in a more holistic way, not at singular claims, but if there is a pattern or anything, I wouldn't be able to find out something. Just a coincidence maybe.
Vinit Malhotra: Okay, thank you very much.
Operator: And there are no more questions. Now I hand it back to Christian Becker-Hussong for closing comments.
Christian Becker-Hussong: Yes, thanks very much to everyone for your questions. Happy to follow-up with you on the phone later on and hope to see all of you soon again. Thanks again for joining. Bye-Bye.